Operator: Good day, and welcome to the Digital Turbine Fourth Quarter and Fiscal 2020 Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Brian Bartholomew. Please go ahead, sir.
Brian Bartholomew: Thank you, Jeff. Good afternoon. And welcome to the Digital Turbine fourth quarter and fiscal full year 2020 earnings conference call. Joining me on the call today to discuss our results are CEO, Bill Stone; and CFO, Barrett Garrison. Before we get started, I would like to take this opportunity to remind you that our remarks today will include forward-looking statements. These forward-looking statements are based on our current assumptions, expectations and beliefs, including projected operating metrics, future products and services, anticipated market demand and other forward-looking topics. Although we believe that our assumptions are reasonable, they are not guarantees of future performance and some will inevitably prove to be incorrect. Except as required by law, we undertake no obligation to update any forward-looking statements. For a discussion of the risk factors that could cause our actual results to differ materially from those contemplated by our forward-looking statements, please refer to the documents we filed with the Securities and Exchange Commission. Also during this call, we will discuss certain non-GAAP measures of our performance. Non-GAAP measures are not substitutes for GAAP measures. Please refer to today's press release for important information about the limitations of using non-GAAP measures as well as reconciliations of these non-GAAP financial results to the most comparable GAAP measures. Now, I'll turn the call over to our Chief Executive Officer, Mr. Bill Stone.
Bill Stone: Great. Thanks, Brian, and thank you all for joining our call tonight. I'm going to break my prepared remarks into four areas. First, I want to talk about the elephant in the room that is top of mind for most investors and that's the real time impact of COVID-19 on our business. I will then briefly close out our fiscal year, spend a few moments on the closing of our Mobile Posse acquisition and how we're going to talk about the Mobile Posse results against the broader business, and finally provide some real time operational details on our progress against our broader long-term diversification strategies. Regarding our current performance in the COVID-19 environment, many investors may have speculated our performance will suffer as a result of disappointing demand from advertisers and disappointing supply of devices from their local closed carrier stores. The reality is as our performance has never been stronger as a result of a winning strategy, great attention to detail and our execution and amazing team here at DT.  Both Barrett and I will provide more color on these dynamics later in our remarks, but when we compare the financial results from our two businesses on a combined basis for April and May 2019 results to April and May of 2020 results, we are seeing double digit top line revenue growth with expanding profitability and margins.  In other words, while neither we nor anyone out there can predict with certainty of what the macro future holds in a COVID-19 environment. In the present Digital Turbine is setting all time monthly performance records and its results in this highly strange macro environment. Again, we'll provide more details later in our remarks, but I want to make sure we don't bury the lead message we want investors to take away from today's call. And that message is our business has never been healthier or stronger than it is right now. Closing out our fiscal year, we finished with $138.7 million in revenue and $19.6 million in EBITDA, which included one month of Mobile Posse results. Both financial metrics exceeded our expectations, which comprises over 30% annual top line growth and over 100% annual growth in EBITDA. We also finished the year with our Ignite software installed on over 400 million devices globally, including growth of 150 million devices in the fiscal year, which compared to just over 100 million devices added in the prior fiscal year. I was also pleased with our progress on revenue per device or RPD, which is a key health metric of our business. RPD continues to improve both internationally and here in the U.S. with U.S. RPD growth of 32% in the fiscal year. We spent March focused on integrating our Mobile Posse business, and we continue to be pleased with the acquisition as our strategic and financial rationales for this transaction are all intact.  We've integrated our management teams, our back office activities and our business development efforts. To further facilitate that integration as one company versus two companies, we've also renamed our business units. Going forward, you will not hear us spend much time referring to Mobile Posse, rather you'll hear us refer to three lines of businesses in our remarks. First, we have an application media business that is focused on delivering applications to devices. This is largely our core Digital Turbine business that investors knew pre-acquisition. We also have a content media business, which is focused on delivering content, such as news, weather, sports and entertainment to devices and monetize through programmatic advertising. This includes all the legacy Mobile Posse revenues plus our media hub revenues that have been transitioned to be managed by the former Mobile Posse team. And finally, we have other miscellaneous revenues that are comprised of license fees from operators, professional services and the like. This third category is not material today. And that's, we're not going to spend a great deal of time on it, but want to make sure investors understand the distinction that this third business unit is focused on us getting paid from the carrier or the OEM versus getting paid from the media partner. Now turning to our results across these business segments, the strong results are the direct result of our strategy of diversification we embarked on years ago. Diversification of business partners, products, business models, geographies, and so on. We are no longer reliant upon any single variable in our business to define our success. In terms of partner diversification, our total revenue with our initial U.S. partners of Verizon, AT&T, Cricket and U.S. Cellular increased year-over-year despite a decline in the total combined devices sold. Today, these four partners represent less than 50% of our total revenues. This compares to over 70% for the fiscal year 2020 and nearly 90% for fiscal 2019, helping us to diversify partners are now having T-Mobile being a large content business partner, plus our rollouts with newer U.S.-based partners, such as Tracfone and international partners, such as Samsung and America Movil. Our application business revenue from international partners has increased 80% year-over-year driven by Samsung, America Movil and others. And this has taken our international partner revenues contributing now approximately 20% of our application media revenues. And this compares to 9% of revenues a year ago. And with our Samsung momentum combined with the launches of Xiaomi in India and Telefonica and Latin America and Europe happening later this quarter, we expect these numbers to continue to grow. Product diversification is another primary growth driver for the business. In terms of product diversification, dynamic installs comprise approximately 60% of our revenues today. This compares to almost 80% for the fiscal year 2020 and over 85%, two years ago. Our content products are now approximately 25% of revenues. Our other application products, such as Single-Tap, Folders, Notification and wizard are approximately 15% of revenues. And we are continuing to innovate with new products, content, television, and home screen experiences that will further diversify these numbers. As we are seeing strong demand for more offerings with our existing operator and OEM partners above and beyond those that we have today. And finally, our business models have diversified, driven primarily by our content business. More than 30% of our revenues are now recurring revenue streams that are insulated from new device sales. This compares to less than 5% of revenues being recurrent a year ago. And regarding some of the details we're seeing in the current pandemic, I would characterize our business as extremely resilient, due to strong demand from advertisers and global device supply continuing to be robust. Demand is exceeding our expectations for a few reasons. First is that our platform provides complete view through to end user engagement and spend off an application. So for example, if a customer engages with an application such as Pandora or TikTok, both of those companies can track exactly how much benefit they received from using our platform. This helps them drive additional spend on a platform due to the strong ROI they see from their new customers. And in a world where marketing dollars need to show clear and measurable return on investment, our platform provides exactly that. And secondly, we know that media dollars follow where eyeballs are and those eyeballs are in applications, whether that is in social media, streaming audio, streaming video or gaming, and all of these categories are spending more dollars with us today compared to prior periods. And unlike most other media businesses, we have limited exposure to categories like restaurants, small business, travel, automobiles and other hard-hit sectors of the pandemic. The other dynamic is supply. Smartphone is one of the things that none of us can live without in today's world. And here in the U.S. while some local shops may be closed, we've seen a migration to online shopping smartphones. Our carrier and OEM partners have estimated that anywhere from 60% to 70% of device sales are now being purchased online, which compares to 10% to 15% pre-crisis. And while some U.S. operators may be reporting slower upgrade cycles, it's also important to note that our software is installed on approximately 60% of the Android devices here in the United States and 15% globally. Thus even if overall device growth were to slow, we have a long way to go before our overall device growth slows. And we expect to materially improve our device volumes, despite this pandemic, given this penetration dynamic. In this top line growth, margin expansion, operating leverage, free cash flow, and strengthening balance sheet are not the results of any financial engineering. There are the results of us simply focusing on the fundamentals. Our strong operating performance is being driven by these diversification metrics and the strategy we embarked on in a few years ago is now bearing real fruit in these difficult macroeconomic times. And before I turn it over to Barrett, I want to give a shout out to our entire DT Team that is now official includes the Mobile Posse team. Being able to accomplish these results in a difficult remote work setting is truly amazing. Work can be harder when you can interact face to face with your customers, your partners, and your colleagues, and our history and culture of being a more global and distributed workforce than most other companies that operate out of a traditional headquarter office setting provides us a unique advantage in this new normal world and combined with a team's focus. So accountability and community, and just great command over the key business drivers it’s which generating strong results. And with that, I'll turn it over to Barrett to take it through the numbers.
Barrett Garrison: Thanks bill and good afternoon, everyone. Before I cover our financial results, I wanted to comment on the successful acquisition and integration of Mobile Posse, which closed at the end of February. And the partial period contributions of this business are included in our Q4 results. I'd like to welcome our new team members from Mobile Posse and thank all of our DT team involved in the integration. To date, we are tracking nicely on our integration of Mobile Posse’s operations, and its Q4 performance was consistent with our expectations. As Bill mentioned beginning next quarter, we will communicate results from Mobile Posse within our content business. Now turning to our results. We're pleased with our strong fourth quarter performance, which exceeded our outlook and capped-off another great year. My comments today will refer to a comparison on year-over-year basis, unless otherwise noted. For the fiscal year 2020, we reported $138.7 million in revenue, growing 34%, generated $19.6 million in adjusted EBITDA, an increase of 120% over prior year and delivered $17.5 million in adjusted net income or $0.20 per share as compared to $0.08 per share in the prior year. Now, let me turn to the specific performance in the quarter: revenue of $39.4 million in the quarter was up 45% with our apps business growing 27% excluding the contributions from Mobile Posse. Adjusted EBITDA of $5.3 million was up 59% over prior year, representing a margin of 13%, up from 12% in the prior year. Revenue growth in our apps business continues to be driven by strong demand on the platform. As RPD with our four largest tenured U.S.-based partners is approaching $3.20, an increase of 35% year-over-year and revenues on our international business grew more than 85% in the quarter. I've also been pleased and impressed by the resilience of our ad demand on the platform in the last couple of months during this strain macro environment. Gross profit is a key performance measure metric for us grew 39% to $15.8 million in the quarter and gross margin on the platform was 40% in Q4. While gross margin rates can fluctuate from quarter-to-quarter, we anticipate further margin expansion as we continue to execute on our product and partner diversification strategy, including integrating the high margin content business as part of the Mobile Posse acquisition. We experienced continued impressive expense scale on the platform, as cash expenses excluding one-time transaction costs were $10.5 million in Q4 or 27% of revenue, down from 30% of revenues in the prior year. Total operating expenses were $12.4 million, which include one-time transaction costs of point $0.7 million compared to total operating expenses of $9 million in the prior year. On an annual basis I will note that our operating leverage is being achieved even as we make a number of focused investments, primarily with our sales force and technology teams to support new partners and products to drive future incremental revenues on the platform. I'd also highlight we're tracking to anticipate further cost synergies to be realized from the Mobile Posse acquisition as the operations are further integrated. Non-GAAP adjusted net income in the quarter was $4.2 million or $0.05 per share as compared to $2.4 million or $0.03 per share in the fourth quarter of 2019. Our GAAP net income for Q4 was $14 million or $0.15 per share based on 91.9 million diluted shares outstanding compared to a fourth quarter of 2019 net loss of 6.8 million or $0.09 per share. I will know within our GAAP net income for the quarter is a recorded gain of $1 million from the impact of the change and the fair value of derivative liabilities, resulting from the warrants from our prior convertible note, which were fully exercised in the quarter and the company exited the quarter with no remaining obligation on the convertible note or the connected warrants. We also recorded a $10.6 million non-cash gain as a tax adjustment related to the acquisition of Mobile Posse. Moving to the balance sheet, I'm very pleased with the continued progress in the quarter and throughout the fiscal year to further bolster the strength of our balance sheet. We exited the quarter with $21.5 million in cash and generated $11.8 million in free cash flow from operations in the quarter and $28.8 million in free cash flow in fiscal 2020. Our cash balance and free cash flows were positively impacted in the quarter. By the timing of certain partner payments and would expect this to adjust to normalize levels in the June quarter. As part of the close Mobile Posse transaction, we paid $41.5 million in cash at closing, funded with $20 million of new term loan financing and the balance funded from existing cash balances at close. The remainder of the purchase consideration will be paid through a 12-month earn-out based on gross profits delivered on the Mobile Posse business and is expected to be funded by the profitable operations of the combined businesses. As part of the new credit facility, in addition to the term-loan, the company also has a $5 million revolving line of credit available, which currently has no outstanding balance. With a healthy balance sheet, strong cash position, an ample access to liquidity we've exited fiscal 2020 poised to execute on our growth plans for fiscal 2021 and beyond. Now, let me turn to our outlook. The momentum leading into the New Year and progress underway in the quarter has positioned us for a strong fiscal 2021. In that context, we currently expect revenue for Q1 to grow to between $47 million and $50 million and expect adjusted EBITDA to grow to between $8 million and $10 million. With that, let me hand it back to the operator to open the call for questions. Operator?
Operator: Thank you. [Operator Instructions] And our first question will come from Mike Malouf with Craig-Hallum. Please go ahead, sir.
Mike Malouf: Great. Thanks guys for taking my questions and it's just fabulous to see how you guys are handling this tricky situation that we're in now. So well done. My questions start with Samsung, I'm wondering if you can give us an update where we are with that rollout and how you see that playing out over the next 12 months. It sounds like we've got quite a bit of momentum and it started late last calendar year. I'm wondering if the pandemic environment has slowed that at all. And if not how far penetrated we could get as we look out into 12 months and then I have one follow up.
Bill Stone: Yes. Sure, thanks, Mike. Yes. Regarding Samsung, we continue to be really pleased with the progress that we're making. And I think as some investors have heard me say before, if you look at time zero when we launch a new partner, whether that was Verizon or AT&T or Cricket or Tracfone or Samsung, and you kind of plot out each quarter, you just see nice momentum and nice continued growth. And Samsung is no exception to that and following a similar trend. We've been really pleased. In the current quarter and in the quarter before, we just continue to see more and more devices being on the platform. Right now, we're well north of 10 million devices on Samsung and ramping right now. So we're pleased with that. We've got a lot of opportunity before we hit our head on the ceiling, given they move more than 200 million devices globally. So even if their growth were to slow down a little bit, we're still in a pretty good place right now. I'd give a specific shout out to our progress in Brazil and Latin America. We continue to show some real nice progress in that market, which is strategic for them. So they've been a great partner. We're ramping really nice and couldn't be more pleased.
Mike Malouf: Okay. Great. Thanks. And then as we look at the real upside, as I see it any way, with the Mobile Posse acquisition being in cross-selling, I'm wondering if you could update us a little bit on how that process is going, both with your ability to sell Mobile Posse's, I guess, NewsHub into your existing clients, particularly in the big U.S. clients and then, of course, trying to get your app install products into the Mobile Posse large client?
Bill Stone: Yes. So continue to be really excited about that. That was a major strategic rationale for the transaction. And I think everything that we're thinking that we could do in terms of our products onto their distribution and their products onto our distribution is intact. I'd say stay tuned for kind of further updates on that. But we continue to be pretty optimistic and bullish that, that strategic rationale is holding true as we're now a couple of months in.
Mike Malouf: Okay. Great. Thanks for taking my question.
Operator: Our next question will come from Darren Aftahi with Roth Capital Partners. Please go ahead.
Darren Aftahi: Hey, guys. Thanks for taking my question. I hope you well. Nice quarter. First, Bill, could you kind of indulge us, so there's obviously a lot of moving parts of the economy. If you go back to sort of March and then look at the cadence to April and then now with May closed, I know you over-indexed to sectors of the economy that are kind of strong. Could you maybe just talk about the cadence of your core apps business or what it used to be versus Mobile Posse's content business? And I'm just kind of curious about the strength in verticals in your core business versus maybe some that are weaker and how those have kind of changed over this three-month period? And then with engagement on the news side of Mobile Posse, how has kind of engagement sort of ebbed and flowed and then kind of programmatic? How has that ebbed and flowed and kind of where do we stand right now? Thanks.
Bill Stone: Yes. Thanks, Darren. If I was going to say one word that would characterize our cadence, it would be accelerating. We're continuing to see nice progress right now across all aspects of the business. We kind of break down some of the details. What I'd say is that we saw May has been better than April. And April was better than March. And we see that spenders that have been spending on the platform have been – continue to want to spend more and spend more at higher rates because of the ROI that they're seeing. And that's the categories I referenced in my remarks. Those are streaming audio, streaming video, gaming, social media and the like. On the content business side, I would say, I've been pleased with the results accelerating there as well. And the content business has less exposure than perhaps other ad-tech companies to some of the damaged categories, macro categories, the automobiles and travel and cruise ships and all those kind of things. They don't have the same level of exposure that others do. So therefore, their business is not as impacted as much. But given that there's recurring revenues and they're somewhat insulated from device – new device sales, you don't see necessarily the impact that I think others would have. So we've been very pleased with the results. And we think there's a lot of juice left in the squeeze in terms of just performance and the things we can control with new platforms that are being put in place in the business, new advertising relationships are being put in place and the like. So we're pretty optimistic about the future for that business.
Darren Aftahi: Great. And just one more from me. On the SingleTap side, I know you struck those partnerships with AppsFlyer and brands and the like maybe a couple of quarters now. I'm just kind of curious if you can take the pulse of where those relationships stand and if they're actually bearing any material fruit at this point?
Bill Stone: Yes. So I'm pleased to report that SingleTap has been something we've been really excited about for a long time. And the – as long as the conversion rates, and it was a better end-user experience, it was better for the advertiser, it was better for the operator OEM partner, we're going to stick with it. And as you're well aware, we have a number of last mile issues with SingleTap that we couldn't get the conversion rates we saw to scale. And we're now in a place where we're starting to see some really nice progress. And we're seeing it through some of the things that you just mentioned as well as other relationships that we have right now, and we've made some material progress on some of these last mile operational issues, and I want to give a shout out to the team that's just really stuck with it and just ground through some things that are now starting to generate some more positive results for our SingleTap business. So we'll talk more about some of the specifics when we get on our next earnings call. But just suffice to say; I'm much more pleased and optimistic with where we're at in that business than where we were historically.
Darren Aftahi: Great. Thanks, guys.
Operator: Our next question will come from Austin Moldow with Canaccord. Please go ahead.
Austin Moldow: Hi, thanks for taking my question. You mentioned seeing attractive conversion rates in your press release. Wondering can you define what exactly that conversion is measuring and what level that rate is currently at? And maybe how that compares to how it's done historically?
Bill Stone: Yes. Sure, Austin. So when we talk about conversion rates, we talk about the percentage of customers that are opening and engaging with applications. And the conversion rates can really vary all over the map depending on what kind of application it is. So specific game versus social media application versus Uber versus whatever, they're all going to have different conversion rates. And rather kind of break down each individual vertical here on this call, what I would say is that on an aggregate level, we're seeing improved conversion rates. And it makes sense, right, is that here we are in a pandemic. People are on their phones more. They're wanting to discover and explore new content. We have that. It's relevant and tailored for them. And so therefore, they're going to experiment with other types of content that may be relevant for them. So as a result of that, if we're getting paid, for example, arbitrarily $1 cost per install, which means that we get paid, I say, $0.30 if 30% of people open it. Well, now 50% of the people open it, we get paid $0.50. And so that's obviously a material improvement in the results. So we're starting to see those kind of dynamics at play right now, which gives us a lot of encouragement and excitement because for the advertiser, it's all about ROI and having visibility to that spend. They want to know how much Bill Stone or Austin or Barrett is consuming that content. And with our platform, they can do exactly that. Unlike other platforms, where it may be a little bit more difficult to track that ROI or in other kind of offline media things like outdoor, television and the like. So it really gives us an advantage in terms of the media dollars that are out there to compete for.
Austin Moldow: In that example, does that mean your – you get paid on a performance basis? Or does that just sort of talk about implied pricing? 
Bill Stone: Yes. No, I think there's – we always get paid on performance. Because of that view-through, whether we back that performance metric out to an upfront fee for every app or we back that performance out to an open app or we back that performance out to revenue sharing on the app, we get paid on performance. There's a lot of different ways to cut, slice and dice it, but the bottom line is you're getting paid on how much ROI you're generating for your media partner, and we can do it in multiple ways. And the message here on today's call is we're seeing increases on that across the board.
Austin Moldow: Got it. And lastly, can you talk about some of the underlying metrics that inform your guidance? I'm particularly curious about what kind of U.S. device trends you're seeing and maybe compared to what your partners have themselves reported?
Barrett Garrison: Yes. Well, a couple of things. I would point out in Bill's prepared remarks, he talked about double-digit growth kind of for the two months we're seeing in the current quarter. So we have two – we have visibility to two months in the quarter. Those are going well. We've seen devices recover – device volumes recover by region, they're happening at a different pace. But as you heard Bill talk about earlier, kind of the trends we're seeing is March kind of a low point with respect to device volumes primarily in the U.S. and then a rebounding and a step-up April and May. But those combined with the demand we're seeing on the platform showing through in the RPD metric are what has informed our guidance for June quarter.
Austin Moldow: Great. Appreciate you taking the questions.
Bill Stone: Thanks, Austin.
Operator: Our next question will come from Lee Krowl with B. Riley FBR. Please go ahead.
Lee Krowl: Great. Thanks for taking my questions and echo the congrats on a solid execution and outlook, just given fairly tough backdrop. First question, just wanted to kind of dive in on the advertiser demand front. Just kind of curious if you could bifurcate advertiser demand between kind of new customers new advertisers added versus increased spend from existing customers?
Bill Stone: Yes. So I'd say it's a mix of both. Especially in our international business, we're seeing a lot of new advertisers spending more. And then our existing business, I would characterize it as we're seeing our existing advertisers – I'm sorry, U.S. business, we're seeing our existing advertisers that are spending more. So it's a balance of both. And some of those where success begets success and momentum. And so we're pretty excited about what we're seeing there both in terms of net new advertisers as well as our existing ones wanting to spend more.
Lee Krowl: Got it. Got it. And then just on the margin front, fully appreciating that Mobile Posse has positive margin contribution. But are there any other levers to gross margin improvements? And then you did call out increased synergies. I believe the prior target was about $1 million. Maybe just kind of quantify the incremental synergies you guys expect from Mobile Posse.
Barrett Garrison: So I'll just start with the synergies. I'll reiterate that the strategic value here with the Mobile Posse acquisition and the content business was revenue synergies and the value that brought. But there are some corporate overlap and cost synergies in kind of the $1 million-ish range. And those, as I mentioned, are tracking nicely, and we'd expect that to help expand our EBITDA margins.
Lee Krowl: Got it. And then just last question for me. I think you called out Telefonica going live in both Europe and Latin America in the current quarter. Maybe just kind of speak to the trajectory or the pace at which you expect that business to turn on, whether it's slow in trial phase for a couple of quarters or if that can turn on fairly quickly just given the magnitude and the size of the user base that exists at Telefonica.
Bill Stone: Yes. So I guess I'd characterize it would most likely follow what we've seen with other partners. And so as I mentioned earlier in Mike's question, we see Verizon, AT&T, Cricket, Samsung launch, you see a nice kind of steady and slow build quarter-over-quarter from time zero to quarter one, quarter two, quarter three and so on. And I would envision Telefonica to follow a similar trajectory as our other partners have.
Lee Krowl: Got it. Thank you for taking my questions guys.
Bill Stone: Thanks, Lee.
Operator: Our next question will come from Jon Hickman with Ladenburg Thalmann. Please go ahead.
Jon Hickman: I guess this is a question for Bill. Could you talk – or could you clarify a little bit the tax benefit you got this quarter, where that came from?
Barrett Garrison: Yes. So I'll take that one, Jon. The – yes, we recorded a gain. It's a tax benefit related to the acquisition and tied to the purchase accounting, which was – it's a non-cash adjustment that we made as part of closing the Mobile Posse acquisition.
Jon Hickman: Okay. So it's purely noncash. Okay. 
Barrett Garrison: That’s correct.
Jon Hickman: Okay. And then I was wondering if I think back when you were telling us about the initial purchase of Mobile Posse, I think we've indicated that the gross margins on the Mobile Posse business were higher than the current – than the historical gross margins for the Ignite business. Could you – I mean, if we were modeling this out, could you give us a little – are we expecting a couple of hundred basis points improvement or more than that?
Barrett Garrison: Yes. So when you – Jon, when you have a chance to see the K, you'll see we've included a pro forma, and the margins are close to 50% for that business. So that's disclosed. So we'll see, call it, two to three points of margin expansion just by adding that business to Digital Turbine. And then it will be the pace at which those two businesses grow that will drive the mix over time.
Jon Hickman: Sure. Okay, thank you, and congratulations, really nice quarter. I appreciate it.
Barrett Garrison: Thank you, Johan.
Operator: Our next question will come from Allen Klee with National Securities Corp. Please go ahead.
Allen Klee: Yes, hi. Something that stood out to me was the strength in your new devices added, especially with some of the larger telephone companies in the U.S. talking about 30% declines on new adds. So I was trying to understand a little maybe how that breaks out between the U.S. market potential declines versus growth internationally.
Bill Stone: Yes. Sure. So as I mentioned earlier in my remarks, there's still a penetration story that's out there. So given the fact that we're only on 60% of the Android phones here in the U.S. and 10%, 15-ish percent in the global market, even if devices slow down, we're going to see growth. And so clearly, we saw a lot of growth internationally. But even here in the U.S., I think the growth is somewhat slowed. And we expect in the back end of this year for some of that to pick up as a result of 5G deployments, stores opening up and the like as we get into the future quarters. But even in the current environment, the fact that we added 150 million devices for the fiscal year and that compares with 100 million in the prior fiscal year, that's pretty good growth in a market where the macro situation is showing slowing. So we expect to continue to show net new device ramps as a result of all of our new partners and even potentially some growth here in the U.S. as well.
Allen Klee: Thank you. And my other question was, I don't – and I don't know if maybe you said this, but how much did Mobile Posse contribute during the quarter for the one month?
Barrett Garrison: Yes. They were just under $5 million in revenue.
Allen Klee: Great. Thank you so much.
Operator: This concludes our question-and-answer session. I would like to turn the conference over to Bill Stone for any closing remarks. Please go ahead.
Bill Stone: Yes. Thanks, everyone, and thanks for joining the call today. We look forward to reporting on our progress against all the points that we made on the call, and we'll talk to you again on our fiscal 2021 first quarter call in a few months. Thanks, and have a great night.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.